Operator: Welcome to the Fourth Quarter 2016 ConocoPhillips Earnings Conference Call. My name is Christine, and I will be your operator for today's call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Ellen DeSanctis, VP – Investor Relations and Communications. You may begin.
Ellen R. DeSanctis - ConocoPhillips: Thank you, Christine. Hello, everyone, and welcome to our fourth quarter and full year 2016 earnings call. Our speakers for today will be Ryan Lance, our Chairman and CEO; Don Wallette, our EVP of Finance and Commercial and our Chief Financial Officer; and Al Hirshberg, our EVP of Production, Drilling and Projects. Our cautionary statement is shown on page two of today's presentation. We will make some forward-looking statements this morning during the call that refer to estimates or plans, and our actual results could differ due to many of the factors described on the slide as well as in our periodic SEC filings. We will also refer to some non-GAAP financial measures today, and that's to facilitate comparisons across periods and with our peers. Reconciliation to non-GAAP measures that most closely correspond to the GAAP measures can be found in this morning's press release and also on our website. And then finally, during this morning's Q&A we will limit questions to one and a follow-up. And now I'll turn the call over to Ryan.
Ryan M. Lance - ConocoPhillips: Thank you, Ellen, and let me also welcome those joining the call today. Since our analyst and investor meeting in November we've received quite a lot of positive feedback on our disciplined returns-based value proposition, but I think we also heard that we needed to show you that we can deliver on this plan; in other words, we said it, but you need to see it. So that's the punchline of today's call. Since November we've taken several actions that offer a snapshot of our value proposition in action. In addition, our fourth quarter results underscore the inflection point we're at as a company. I'll build on these themes over a couple of slides and then I'll turn the call the call over to Don and to Al. So we turn to slide four, this is an updated version of our value proposition on a page that we showed you in November. We showed our principles on the left and our cash flow allocation priorities and targets in the middle column. Shown on the right are proof points that these priorities are activated and delivering. Let me step through them. In the fourth quarter we generated sufficient cash from operations to cover our capital expenditures and pay our dividend for the second quarter in a row, at an average of $45 to $50 Brent prices. As you know, our first call on cash flows is to invest capital to maintain our production and pay our existing dividend, and we're reiterating our 2017 CapEx plan of $5 billion which can achieve this priority. Our second priority is grow the dividend. Earlier this week we announced a 6% increase in our quarterly dividend rate. The dividend is an important part of our commitment to return capital to our shareholders, and we believe this increase sends a strong signal that we intend to operate dividend that is competitive, sustainable, and affordable through the cycles. In November we set a debt target of $20 billion by the end of 2019. We're making steady progress towards that goal; we reduced debt by $1.4 billion in the fourth quarter. We're committed to maintaining a strong investment grade balance sheet through the cycles, and our plan is to reduce debt as it matures but we're willing to reduce debt more quickly if we find ourselves with additional cash due to higher prices or earlier proceeds from our disposition plans. We stated a goal to pay 20% to 30% of our cash from operations to shareholders through dividend and share buybacks. In mid-November we began repurchasing shares under the initial $3 billion repurchase authorization. However, like our debt reduction target, we would be willing to put more money to this priority if cash is available and the value is compelling. Finally, we grew production by 3% on an adjusted basis, 2016 versus 2015, and we did this while spending only $4.9 billion in capital. We're on track to grow up to 2% on that same basis in 2017 when excluding the full year impact of our 2016 disposition plans. We're putting more money to shorter-cycle low-cost of supply investments in the Lower 48. Growth will be balanced against our other priorities, and that's key to our disciplined approach. Our ongoing commitment to these priorities is that we can enable us to deliver more predictable and sustainable returns to shareholders no matter what the prices do. We believe these priorities are unique and they are working, that's why it's a compelling time to invest in ConocoPhillips. Another reason is we're at a significant inflection point as an E&P company, and I'll describe that in more detail on the next slide. This slide describes that inflection point in three ways: transformation, acceleration and differentiation. On the left, we've significantly transformed our company. The fourth quarter performance highlights the many changes we made to our business during the past two years which led us to cash flow neutrality in a $45 to $50 Brent environment. As we go forward you'll see sustainable improvements in both our cash flow and income drivers which will also drive improvements in free cash flow generation and in returns. Our margin should improve as we allocate more CapEx to high cycle, short cycle investments – high return, short cycle investments. We've guided to lower adjusted operating costs, expiration costs, and DD&A versus 2016, and we think these improvements are sustainable, and we're reducing our share count. These factors should provide strong momentum in 2017 and beyond. We're also accelerating our value proposition. Investors don't have to wait for a significant price move to the upside for our priorities to start kicking in. As I mentioned, since November we've increased the dividend, reduced our debt, initiated a share repurchase program, and shifted capital within our portfolio to higher marginal Lower 48 activity. We also expect to deliver $5 billion to $8 billion in asset sales that can fund additional debt reduction, buybacks or incremental growth. Our marketing processes are underway, and we'll provide updates throughout the year. Finally, what differentiates us compared to other E&P companies; we're managing the business for free cash flow, and we laid out clear priorities about how we'll allocate our free cash flow to generate strong returns. Our value proposition balances commitment with flexibility and balances reinvestment in the business with returning cash to owners. Our 20% to 30% payout of CFO is distinctive. We're focused on returns; not absolute growth. We intend to differentiate ourselves by maintaining discipline through the cycles and across all value drivers; we're not going to chase prices up and down. We believe our diversified low cost of supply portfolio is also an advantage. We have an 18 billion barrel resource base with an average cost of supply of less than $40 Brent that can drive future returns. We believe this inventory of high quality investment opportunity is distinctive amongst our competitors. So transformation, acceleration and differentiation; these are the themes I hope you take away from today's call. We're on a more disciplined and resilient future path, and that's good for all our stakeholders. Now let me turn the call over to Don and Al who will describe our 2016 performance and our outlook for 2017 in more detail.
Donald Evert Wallette - ConocoPhillips: Thank you, Ryan. I'll begin on slide seven with adjusted earnings. This quarter Brent averaged about $50 a barrel, and Henry Hub about $3 in MCF, resulting in an average realized price of just under $33 per barrel. We reported an adjusted loss of $318 million or $0.26 a share. Year-over-year, adjusted earnings improved about $800 million. We benefited from a 15% improvement in realized prices and a reduction in exploration expenses. Sequentially, adjusted earnings improved about $500 million. Approximately $300 million of the benefit came from improved realizations, and $200 million from lower depreciation expenses. Depreciation expense in the fourth quarter was lower, and this was primarily a result of performance-related reserve revisions and the addition of new reserves. Fourth quarter adjusted earnings by segment are shown in the lower right side of the slide. Each of our producing segments showed improvement, and three of the five producing segments were profitable in the quarter. The supplemental data on our website provides additional segment financial detail. 2017 guidance is also provided in the appendix of the deck, and I want to comment on two expense items that are significant reductions from prior years: depreciation and exploration expense. We expect lower depreciation to continue in 2017. Our guidance for the year is $8 billion versus $9.1 billion in 2016. This may seem a little counterintuitive given the reserve revisions we announced this morning, however about 90% of the revisions were PUDs, undeveloped reserves, which have minimal impact on our depreciable asset base. Additionally, 2017 depreciation will benefit from the performance-related reserve increases we saw in the fourth quarter, and finally our consolidated volumes will be a little lower in 2017 but offset by higher equity affiliate volumes. Exploration expense guidance for 2017 is $200 million versus approximately $700 million in 2016, reflecting the wind down of our deepwater activity. If you turn to slide eight I'll cover cash flow for the fourth quarter. There's a full year of cash flow waterfall in the appendix but we wanted to highlight the fourth quarter as a better reflection of the current environment, and to demonstrate the inflection point message that Ryan emphasized earlier. As you can, see we continue to make progress on our cash allocation priorities. Again, this quarter we generated sufficient cash from operations to more than cover our capital spending and dividend. We started the quarter with $4.3 billion in cash and short-term investments. During the fourth quarter we generated $1.75 billion from operating activities excluding operating working capital. Working capital was a $200 million use of cash in the quarter. Proceeds from asset sales generated $900 million. We retired $1.25 billion debt maturity and accelerated the repayment of our term loan by $150 million for a total debt reduction in the quarter of $1.4 billion. Capital spending was $1 billion. We initiated our share buybacks mid-quarter and, along with dividends, returns to shareholders totaled a little over $400 million, and we ended the quarter with $3.7 billion in cash and short-term investments. One final comment, as I mentioned last quarter, at Brent prices around $50 a barrel, we would expect to generate about $6.5 billion of operating cash flow on an annual basis. Based on the midpoint of our production guidance, that's still a good marker for 2017. We're going to be keeping a close eye on this just like you. That concludes my comments. Now I'll turn the call over to Al for his comments on operations.
Alan J. Hirshberg - ConocoPhillips: Thanks, Don. Well we've had another strong operational quarter. Production came in at the top end of guidance and, again, we again beat guidance for both capital and adjusted operating costs. I'll begin with a review of our preliminary 2016 reserves. Final reserve details will be published in our 10-K in late February. So on slide 10 you'll see that we started the year with 8.2 billion barrels of reserves. We produced 0.6 billion barrels and had additions of 0.5 billion barrels, excluding market factors. So on that basis, our replacement from additions was 81%; that's an 81% replacement of production from additions in a year when we spent less than $5 billion in capital and sanctioned no major projects. Our addition of 482 million barrels results in an adjusted F&D cost of about $10 a barrel. Market factors reduced our year end reserves by approximately 1.6 billion barrels, and the oil sands represented over 70% of that reduction. About 90% of the reduction was PUDs. Of course, these resources have not gone away. Remember, these reserves were on the books in 2015 when the average Brent price was similar to today's price, so we expect to rebook reserves if current prices hold. The 18 billion barrels of resources with an average cost of supply less than $40 a barrel that we discussed at our recent analyst meeting are also unaffected by these market-driven reserve changes. More details will be available in our 10-K filing. If you turn to slide 11 I'll cover some highlights from our Lower 48 and Canada segments. In the Lower 48, our production in the fourth quarter was 458,000 barrels per day. Once you adjust for asset sales, that's an underlying decrease of about 9% compared to our fourth quarter production last year, primarily driven by our reduced activity levels in the unconventionals. Production from unconventionals in the fourth quarter was 226,000 barrels per day, a decrease of about 14% compared to our fourth quarter production last year. Underlying declines were in line with expectations, but we also had some impact from winter weather in the Bakken that's behind us now. We began ramping up unconventional rig activity in the fourth quarter and are currently running 10 development rigs. Moving to Canada, our production in the fourth quarter was 321,000 barrels per day. Once you adjust for asset sales, that's an underlying increase of about 17% compared to our fourth quarter production last year. The increased production in Canada is coming from our oil sands production ramp-up. For the quarter, we averaged 213,000 barrels per day; this is a new record for us. We've been pleased with the project execution in this segment, and we expect Surmont to continue to ramp-up during the year. As I had mentioned during our Analyst Meeting, we added another 30,000 net acres to our liquids-rich Montney unconventional play in the fourth quarter, and we also had encouraging results from our Montney appraisal program last quarter. If you turn to slide 12 I'll cover Alaska, and Europe and North Africa. In Alaska, our production in the fourth quarter was 187,000 barrels per day. Once you adjust for asset sales, that's essentially flat compared to our fourth quarter production last year. Only a few years ago this segment was in decline, and we've now turned the corner. Alaska continues to be a very productive area for us with access to medium cycle projects with competitive cost of supply. We concluded Phase 1 of Drill Site 2S in the fourth quarter. Drill Site 2S is another example where our experienced Alaska project team delivered ahead of schedule, and under budget. In addition, we recently announced an important and exciting discovery in Alaska. In 2016, we successfully drilled and tested two exploration wells on the Willow discovery in the greater Mooses Tooth Unit with encouraging results. Initial technical estimates indicate the discovery could have recoverable resource potential in excess of 300 million barrels of oil. Appraisal of the discovery commenced in January 2017 with the acquisition of 3-D Seismic. As a follow-up to the discovery, we acquired significant new acreage in the December 2016 lease sale to allow us to follow-up on the discovery. In 2017, we will also continue to progress development of the GMT1 and 1H NEWS projects. In Europe, our production in the fourth quarter was 221,000 barrels per day; that's an underlying increase of 1% compared to our fourth quarter production last year. We've been able to deliver low cost of supply projects that will add production in Europe. We brought Alder on stream in November, and it's continuing to ramp-up. For 2017 we will be continuing to progress Clair Ridge, Aasta Hansteen, and development of the Greater Ekofisk Area. If you turn to slide 13 I'll cover APME and Other International. In APME our production in the fourth quarter was 400,000 barrels per day. Once you adjust for asset sales, that's an underlying increase of 15% compared to our fourth quarter production last year. During the year we've achieved key milestones with first production at Malikai, Bohai wellhead platform J, and APLNG train two, which marked the completion of the six-year megaproject. For 2017 the focus is making sure we reap the full year production benefit of APLNG, KBB and Malikai. We will also be progressing Bayu-Undan infill wells and appraising Barossa as a backfill option for Darwin LNG. Our Other International segment is focused on the exploration and appraisal of unconventional reservoir potential. In 2016 we drilled two exploration wells in Chile. In 2017 we'll continue to focus on exploration and appraisal of both Chile and Colombia. So let's move to slide 14. Our 2017 operating priorities remain unchanged from what we outlined at our Analyst Meeting in November. That's production of flat to 2% growth compared to 2016 production, excluding the full year impact of dispositions in Libya, for $5 billion of capital and $6 billion of adjusted operating costs. We expect first quarter production to be between 1,540 and 1,580 thousand barrels per day, and expect to have our typical profile through the year with second quarter and third quarter turnarounds. We will also continue to implement our more-focused exploration program. And finally, as Ryan mentioned, we're making progress on our planned $5 billion to $8 billion of asset sales. We have active processes underway, and we'll update you throughout the year. So operationally, everything is on track for 2017. And now we'll turn the call over for Q&A.
Operator: Thank you. Our first question is from Neil Mehta of Goldman Sachs. Please go ahead.
Neil Mehta - Goldman Sachs & Co.: Good morning to you guys. The first question I have for you is around the dividend raise. So earlier this week you raised your dividend by 5% to 6%. Is that a good proxy for what we should expect going forward post-2017 as well? And then, Ryan, can you just talk about the buyback program and how you weigh that versus dividend growth on a go-forward basis?
Ryan M. Lance - ConocoPhillips: Yeah. Thanks, Neil. Yeah, certainly a couple of days ago we announced a 6% increase to the dividend, so what we're doing – no, it's driven by the fact that we've reached cash flow neutrality in the company; we're generating free cash flow. What we describe to our investors it was important, our second priority to grow the dividend; felt that was important to do, we'd reached that milestone. As we look at the market, we see some recovery in the market. We continue to, as Al said, operate really well and we'll continue to generate free cash flow as we go forward. So recognizing that priority, we're going to – we'll be growing our dividend, and that's our intention to do that. We're augmenting that right now with share repurchase as we generate the free cash flow, so I kind of view those together. We're going to target our 20% to 30% return to shareholders. I think we're at the upper end of that right now with respect to both the dividend and the share repurchase. We'll balance those two as we go forward. We're going to set the fixed dividend, make sure it's affordable and make sure it's sustainable through the cycles. So that's kind of how we're thinking about the fixed portion of our return to the shareholders combined with the flexible part through share repurchases. By the way, on the share repurchase piece, too, Neil, I'll just remind people we got started in mid-November after the Analyst Meeting, so that represented only kind of a half a quarter in terms of our – the amount we're trying to buy back over the course of the year.
Neil Mehta - Goldman Sachs & Co.: Appreciate that, Ryan. And a follow-up on just the asset sale program, the $5 billion to $8 billion. When do you expect to be able to provide us an update on San Juan which seems to be the one that's most progressed? And can you just comment on early market appetite for North American natural gas assets?
Ryan M. Lance - ConocoPhillips: Yeah. I think we're seeing a lot of interest. These are pretty high-quality assets, so we expect a lot of interest and in fact we're getting that through the data room right now. We expect to get bids in and have some decisions probably over the next couple of months with respect to San Juan.
Neil Mehta - Goldman Sachs & Co.: Great. Thanks, Ryan.
Operator: Thank you. Our next question is from Phil Gresh of JPMorgan. Please go ahead.
Phil M. Gresh - JPMorgan Securities LLC: Hey. Good morning or good afternoon I guess at this point.
Ryan M. Lance - ConocoPhillips: Yeah. Hello, Phil.
Phil M. Gresh - JPMorgan Securities LLC: First question, I think you kind of answered it on the buybacks that you're run rating more like, I guess, $250 million per quarter, and with oil probably averaging closer to $55 at this stage relative to the $50 you talked about at the Analyst Day. Just kind of wondering how you think about that excess cash. And you had given an example in one of your slides at the Analyst Day that kind of looked like $2 billion, maybe $3 billion of debt paydown per year into the next few years. Is that a reasonable way to think about this year for debt paydown?
Donald Evert Wallette - ConocoPhillips: Phil, I'll jump in on the debt. I think what we said is that if you look at our maturities I think a $1 billion this year and a little more next year that we pay it down as the bonds matured. If we had excess cash flow then we would look at potentially accelerating some of that, and we certainly have a convenient way and efficient way of doing that with our term loan that's due out in 2019. But beyond that we're not providing guidance on what proportion of excess cash flow would we allocate to debt versus buybacks versus investment in the business.
Phil M. Gresh - JPMorgan Securities LLC: Okay. And then a second question would just be we've seen a lot of activity out there from an acquisition standpoint, particularly in the Permian, and given your positioning in US shale and your strategic objectives that you've talked about, obviously M&A really isn't on there. So is it fair to assume you're really not looking at those type of opportunities or if something came up with say contiguous acreage that could enhance your position, would you consider it?
Ryan M. Lance - ConocoPhillips: Well, I mean, as we've said in the past, Phil, we're in the market. We look at all of these. We watch everything that's going on and we give our teams money to core up their acreage in and around their positions. Al described what we did in the fourth quarter up in the Montney. We had a unique opportunity to core up a fairly significant position that was contiguous to our acreage. We've done – we've been doing deals like that in all the big areas that we operate in. So that's nothing new to us. The hurdle rate is quite high in the company; it's got to compete on a cost of supply basis for us. So right now we don't really feel like we have a gap in our portfolio, so we're not out looking to build. We're building some new areas through the exploration channel that we're excited about, but we have a lot of undrilled locations to go drill. On your previous question, I might just add one thing to Don's response, too: follow the priorities. If we get free cash flow, we've already satisfied and grew our dividend. We're going to look to reduce debt on the balance sheet, and we'll look to increase our share ramp-ups from share repurchases if we think that's the right thing to go do.
Ryan M. Lance - ConocoPhillips: Great. Thank you.
Operator: Thank you. Our next question is from Doug Terreson of Evercore ISI. Please go ahead.
Doug Terreson - Evercore Group LLC: Hi, everybody.
Ryan M. Lance - ConocoPhillips: Hey, Doug.
Ellen R. DeSanctis - ConocoPhillips: Hey, Doug.
Donald Evert Wallette - ConocoPhillips: Hey, Doug.
Alan J. Hirshberg - ConocoPhillips: Hi, Doug.
Doug Terreson - Evercore Group LLC: Ryan, the company reported positive free cash flow again this quarter and free cash flow should rise further in 2017 it looks like. And on this point, you guys seem pretty confident that you can make your growth and returns profile despite a level of spending that is historically lower than it was in the past. So my question is what is it in the new reserve and production mix or the spending and financial framework that's so different than what was the case in the past? Because you're spending a fraction of, I mean, what some of your peers are that should support your confidence to deliver in this area?
Ryan M. Lance - ConocoPhillips: Yeah. Thanks, Doug. Yes, it's really the journey that we've bud (27:04) on, getting the major projects up and running and the switch in the portfolio to the shorter cycle, high return, low cost of supply investments that we've got. I remind people that 30% or so of our portfolio doesn't decline for over a decade, and that allows us to reduce the capital burden to maintain and modestly grow the company which is why we feel very confident that we've got that capability to do that at the $5 billion-ish capital level. And then the proof point is exactly as you point out. We grew 3% last year and spent $4.9 billion of capital. So that's why we have confidence. We've exited the deepwaters, so we're not into that piece of it, and we've seen the technology and the innovation pretty apparent in our portfolio. So all of those things come together and it's buried in that deep 18 billion barrels of resource base that we have, and the journey that we've been on over the last couple of years, and we've gotten now to a place where low capital intensity in the company and it can support a very strong returns-focused value proposition like we laid out to investors last November.
Doug Terreson - Evercore Group LLC: Okay. And then also strategically, there seems to be a lot more private equity funding in the United States energy sector during this cycle than there has been in past cycles. So my question is how do you view this competitive threat both in terms of competition for resources or oil field services or whatever else you deem meaningful to the topic? And do you think it's significant enough such that it could hold broader implications for your portfolio down the road or is it too early to know?
Ryan M. Lance - ConocoPhillips: Well I think it's a really good – a good question. We're spending a lot of time and I'd say probably not a little bit of private equity, I mean, a lot of private equity money chasing, certainly, in the Permian right now. And I think as we look at it, for us I guess where our focus and attention is right now is sort of on the re-inflationary pressures that you might see, and just make sure we've got a myopic focus on holding our margins and making sure that we keep everything. As I said, we're not going to chase prices up and down as the prices rise if we see a lot of inflationary pressures, which some of this activity and the PE guys are kind of driving right now, we'll spend really – pay really close attention to that. We don't have to chase it up and chase growth down. We've got a portfolio that we can make sure we do it right and make sure we're focused on margins and returns. But it is – we've got a close eye on it. We're wondering, we're watching the activity in the rig rates, and it's interesting. We're not sure what they're selling.
Doug Terreson - Evercore Group LLC: Okay. Thanks a lot, guys.
Ellen R. DeSanctis - ConocoPhillips: Thanks, Doug.
Operator: Thank you. Our next question is from Alastair Syme of Citi. Please go ahead.
Alastair R. Syme - Citigroup Global Markets Ltd.: Thanks very much. Hello, everyone. Can I just ask about the new U.S. administration, how that influences your thinking and particularly maybe your view around the Canadian heavy oil position?
Ryan M. Lance - ConocoPhillips: Well I think it's a little early to tell. We certainly hope the new administration, at least in terms of what they've talked about, is going to give us a little bit of regulatory relief, which is we think is good. There are some things that the last administration were proclamating that were a bit worrisome on sort of how it might slow the business down, both on the regulatory side and on the infrastructure side. We've seen President Trump make his decisions on DAPL and on Keystone, so hopefully some of that infrastructure will get moving that's needed to be there. I think a lot of uncertainty on the Border Adjustment Tax and its potential impact on how crude and other products move across the border, whether it's south of Mexico or some of the crude that moves down from Canada into the U.S. I think there's a little bit to be seen yet what that means. Does it get exempted or how are the details of that going to unfold? We're watching it closely, but I think it's a little bit too early to tell on that last piece.
Alastair R. Syme - Citigroup Global Markets Ltd.: Thank you. Then my follow-up is just in terms of Doug's question on sort of the capital coming into North America. I mean, given your perspective and looking across the industry, is the pace of the restart in the U.S. surprising you?
Ryan M. Lance - ConocoPhillips: Yeah. I guess it surprised us a bit to the upside. But in the heart of these unconventional plays, the cost of supplies come down. So – and we're still getting more efficient, and the technology and the innovation is still improving. So, yeah, there's maybe some pace at which people are coming back is a bit surprising, but the idea is not surprising in terms of the overall macro. The growers are protecting their multiple, so they trade on multiples of cash flow. So they've got to get on and run hard.
Alastair R. Syme - Citigroup Global Markets Ltd.: That's great perspective. Thanks very much.
Operator: Thank you. Our next question is from Edward Westlake of Credit Suisse. Please go ahead.
Edward George Westlake - Credit Suisse Securities (USA) LLC: Yes. Good morning, and congrats on the cash and discipline, and you've sort of clearly said that your priorities aren't really going to change. But I guess you've got a couple of assets which possibly could benefit from higher activity, particularly thinking the Delaware, the Red Hills and China Draw have seen some very good well results in the industry there. So maybe just talk a little bit about what are the gating factors if you just decide to go a little bit faster in that shale portfolio?
Alan J. Hirshberg - ConocoPhillips: Well, we just – Edward, if I just kind of summarize where we are in our Lower 48 activity. Remember on the last call I told you that we were still at three rigs at that point in time, but we were planning a ramp to eight by the end of the year, and be four and four in the Bakken and the Eagle Ford. And then we would start adding rigs in the Permian in early 2017, and that is what's happened; we did end the year at eight with four and four. And since the beginning of this year we've added an additional rig in the Eagle Ford, so we're up to five there, and we've added one rig in the Delaware at China Draw. We have a second Permian rig that'll be coming on in the next week or two that'll then take us to 11, and then we'll have additional activity with another rig in the Permian that may also have part of the year in the Niobrara as well. And we also plan to do some drilling in some of our Permian conventional this year. So we'll be in that kind of two to three-rig range in the Permian this year. As we've been adding these rigs, we've been doing what I talked about on the last call of very carefully checking the costs and going out into the market, seeing what kind of rates we can get, and seeing what kind of – how long we can lock for, and that's been one of the things that's driving our pace of moving back into these areas.
Edward George Westlake - Credit Suisse Securities (USA) LLC: Is it fair to say that one of the surprises that might come over the next few years, I mean, obviously we can't predict oil inflation. But just because of the productivity that you're seeing in the Delaware, is that – your production growth may even be slightly above the 2% range for the level of sort of CapEx that you're putting in because of the productivity improvements?
Alan J. Hirshberg - ConocoPhillips: Well, I think that's certainly a possibility, that's one of the things that's driven our outperformance over the last couple of years, is that exact sort of thing. I think you've seen some of that across the industry, so it's a little early to predict that one. But we do – given the low number of rigs that we're running through most of last year, we do – we are going to continue to decline in our Lower 48 unconventional out through about the second quarter before we start to turn back up with these rigs that we've added as we get to more of a steady state at higher rigs.
Edward George Westlake - Credit Suisse Securities (USA) LLC: Thanks. Helpful.
Operator: Thank you. Our next question is from Doug Leggate of Bank of America Merrill Lynch. Please go ahead.
Doug Leggate - Bank of America Merrill Lynch: Thanks. Good morning, everybody. Guys, you've still got a number of projects that are ramping up and obviously some start-ups next year, the biggest of which has been train two in Australia. Can you give us some idea what the exit rate, the trajectory is going to look like through 2017 for production?
Alan J. Hirshberg - ConocoPhillips: The exit rate of...
Doug Leggate - Bank of America Merrill Lynch: No, for the portfolio generally, but I just illustrate there being a APLNG ramp-up. You've also got Gumusut and I guess Kebabangan and a few others. But I'm just trying to get an idea of what the trajectory of production looks like and what the capacity of the portfolio looks like at the end of next year when everything is online.
Alan J. Hirshberg - ConocoPhillips: Yeah. I think, Doug, you will see our traditional U-shaped production curve where we've got – it's really driven mainly by turnarounds in the second quarter and third quarter that will cause our second quarter to – and third quarter to be lower and back up higher in the fourth quarter. But I think that, that U-shape, I expect by the time we get out to the back end, to the fourth quarter, that we'll be at production levels higher than the first quarter. So it's got that kind of shape to it.
Doug Leggate - Bank of America Merrill Lynch: Okay. I'll...
Alan J. Hirshberg - ConocoPhillips: And the major project momentum is a significant part of that. It will add probably 80,000, 90,000 barrels a day next year in 2017 volumes over 2016 from these various major projects.
Doug Leggate - Bank of America Merrill Lynch: So going into 2018, the momentum should be north of 1.6 billion barrels kind of is what I'm getting at? That sound about right?
Alan J. Hirshberg - ConocoPhillips: Well, it should be in that kind of neighborhood. We'll get to those kind of quarterly projections as we move through the year. And of course, all these numbers are ex-asset sales, ex – don't have the dispositions in there, whatever those may turn out to be. So you got to be careful there with these numbers, but yeah, that's...
Doug Leggate - Bank of America Merrill Lynch: Go on.
Alan J. Hirshberg - ConocoPhillips: But – yeah, so that is the kind of shape that you'd expect in the curve, that we'd be up in that kind of territory by the time you get to exit of 2017.
Ryan M. Lance - ConocoPhillips: And it's those projects combined with the momentum that comes out of the Lower 48 as we come through our profile, and the rigs that Al mentioned are running in the Lower 48 gives us a strong exit coming out of the year into 2018.
Doug Leggate - Bank of America Merrill Lynch: Okay. Thanks for that.
Ryan M. Lance - ConocoPhillips: Again, our full year guidance, Doug, has been 0% to 2% production growth for $5 billion of capital. So that's kind of – you can kind of look at that trajectory and figure out where we exit the year.
Doug Leggate - Bank of America Merrill Lynch: Okay. It was kind of a segue I guess into my follow-up, which is on the asset sales. Ryan, I don't know to the extent you will share with us, but $5 billion to $8 billion, what is the, if you could frame for us, the production that goes along with that and more importantly the operating cash flow that goes along with that? And I'll leave that there. Thank you.
Ryan M. Lance - ConocoPhillips: Yeah. We haven't really talking – it's really highly dependent on the mix of the assets that we ended up selling, Doug. So we haven't provided any guidance specifically on the cash flow and the production. We'll update that as we go through the quarters and tell you exactly what the cash flow and the production impacts are as we sell the assets. But the timing of that, we're trying to move as quickly as we can, and it's really hard for us to sort of forecast right now what order those things might go out in and what the annual – quarterly or annual impact might be depending on the assets we're selling.
Doug Leggate - Bank of America Merrill Lynch: Ryan, just for clarity, would it be reasonable to frame it that the asset sales will be accretive to the remaining portfolio unit margins?
Ryan M. Lance - ConocoPhillips: Yeah. Absolutely.
Doug Leggate - Bank of America Merrill Lynch: Great. Thank you.
Operator: Thank you. Our next question is from Paul Sankey of Wolfe Research. Please go ahead.
Paul Sankey - Wolfe Research LLC: Good afternoon, everybody. On the reserves replacement, I was wondering could you outline to the best extent possible how much of the reserves replacement was associated with long-term projects that started up in the course of 2016? And the reason I'm asking is you're clearly getting to the point through your actual performance where $5 billion a year seems to be easily your stance – standstill CapEx level sort of maintaining volumes. But I was wondering would that imply also quite rapidly or that you wouldn't replace reserves at that level of spend? Further to that, does it matter? Thanks
Alan J. Hirshberg - ConocoPhillips: Okay. There's two or three parts in there. I'll try and take them, Paul. First of all, as I mentioned earlier in terms of our additions, we had no project FIDs in 2016. It's those FIDs that generate those lumpy reserve adds from major projects. And so, really, that wasn't a factor in 2016. That 81% additions was not – didn't have any drive from major projects. So that's I think the first part of your question.
Paul Sankey - Wolfe Research LLC: It is. Thank you.
Alan J. Hirshberg - ConocoPhillips: Yeah. And so it's not that we're not going to have any sort of these medium-sized project FIDs in the future; we will. And I think in years when we have some of those FIDs we'll likely move our way above 100%. If you look at our plan out through the next five years, we average around 100% but it's lumpy as major projects hit FID. But I think you're correct in your thinking that as we move more CapEx to these shorter-cycle unconventionals and you have a year when you don't have FIDs, this is not an unreasonable level to kind of expect to be at. And the second part of your question about does it matter? I mean, my answer to that is no; I think the important thing to really remember here is what Ryan mentioned earlier, the 18 billion barrels of resource base which doesn't change one iota from the things we're doing here on reserves that's got an average cost of supply below $40; that's really what we're busy processing. And then, of course, there's the other 27 billion barrels in our resource base that's above $50 cost of supply that we're busy using new technology, and driving costs down to try to move it below $50, that those are – and our exploration program, those are all feeding that feeder pool and that's what we're drawing off of. It tells you that we're not – despite a number like 81%, we're not getting ready to run out of opportunities to invest in any time many decades out into the future.
Paul Sankey - Wolfe Research LLC: Got it. Thanks very much. The follow-up would be is there a new breakeven price given that you've been cash flow-neutral in the second half of 2016 at a somewhat tiny bit lower price than $50 and performance improvements continue? Could we now think about you guys as a $45 in 2018 or can you set some new parameters for yourself? Thanks.
Donald Evert Wallette - ConocoPhillips: Well, Paul, I think we'll stay with what we've got there. I think in the high 40s is probably the right way to think about our breakeven price going forward. And acknowledge that the fourth quarter cash flow was very strong, and if you annualize it you may come with a higher result – you will come with a higher, stronger cash flow result. But you do have to keep in mind the product mix that we anticipate as we go forward with consolidated volumes at least in the – over the next year declining and being replaced by equity affiliate volumes, and you're kind of in that range at $50 to $55 where distributions are pretty uneven and difficult. So I think we'll stay with where we are on our cash flow breakevens.
Paul Sankey - Wolfe Research LLC: Just a very quick update. The $6.5 billion of cash flow you talked about was at what price for what year for long-term guidance?
Donald Evert Wallette - ConocoPhillips: That was, for this year, at $50.
Paul Sankey - Wolfe Research LLC: Thank you very much.
Operator: Thank you. Our next question is from Paul Cheng of Barclays. Please go ahead
Paul Cheng - Barclays Capital, Inc.: Hey, guys. Good morning.
Ryan M. Lance - ConocoPhillips: Hey, Paul
Ellen R. DeSanctis - ConocoPhillips: Hi, Paul.
Donald Evert Wallette - ConocoPhillips: Hey, Paul.
Alan J. Hirshberg - ConocoPhillips: Hey, Paul.
Paul Cheng - Barclays Capital, Inc.: Or good afternoon. Ryan, just curious that it seems like that volume, now everyone want Permian and not too many people want Eagle Ford and Bakkan. And you mentioned that you have some extra cash you're thinking about to accelerate the debt repayment. But at the same time that I think in business that you want to be countercyclical investment. So on that basis that how internally you contemplate, is it better off to see you have extra cash to look at opportunity to be a consolidator in the Bakken and Eagle Ford given not too many people are interested at this point then accelerating paying the debt? Can you maybe help us to understand how is the thought process behind when you decide one way or the other?
Ryan M. Lance - ConocoPhillips: Well we'd look at each opportunity individually and then somewhat collectively as well, Paul. So if the guys come up with a good opportunity like we saw the swap that we did up in Canada in the Montney. If we see good opportunities like that in the Eagle Ford and the Bakken we're constantly looking. So the guys are doing 5,000 acres and 10,000 acres or a couple thousand acre trades constantly in our business both in the Permian, in the Bakken and in the Eagle Ford. So if we see an opportunity, absolutely. If it competes on a cost of supply basis and it can mold in and not just be additive to our portfolio but substitutive in our portfolio, we'll absolutely take a look at it. We're not letting those go, but we judge that against our progress towards making sure our debts are coming down on the balance sheet and make sure that we're giving an appropriate amount back to the shareholders. So we are putting all of those few things into the bucket and trying to make those assessments as we go through the course of the year.
Paul Cheng - Barclays Capital, Inc.: This may be for Al or maybe for, Ryan, you also. The cost environment that you guys have talked about, can you give us some idea there and update where you see the cost pressures start to picking up or that even some sign that you start to have evidence saying that it may be picking up very soon. Some idea on that. And also to Al, along the way, since I always ask that question, maybe you can give us the number for the shale oil production by play? Thank you.
Alan J. Hirshberg - ConocoPhillips: Okay. I'll start with the cost question. I would say so far – from what we've seen so far this year we would expect our 2017 cost levels to be broadly in line with 2016. On the call last quarter, in response to a similar question, I told everybody that we really hadn't seen any request for cost increase yet and I can't say that this quarter. I mean, we are starting to see some request for increase, some cost pressure in the Lower 48 in the last month or two as you've kind of seen the whole industry talking about. But in our particular case, there's three offsets to that, that you just think about in terms of how you think about how it's going to impact ConocoPhillips. One is that our international costs are still coming down. So if you look at our Lower 48 unconventional drilling, it's on the order of $1.5 billion out of the $5 billion that we're spending. So, really, when we talk about some of the pressure we're seeing, it's just against that slice of our $5 billion, that $1.5 billion. That's the first point. And that's being offset by still seeing some things coming down in the other parts to our business internationally. Then – and so that's the second piece, is that international offset. And then the third piece is that we have, as you heard me talk about before, done some locking of cost levels, and so we're benefiting from that as we go through 2017. We've got cost locks on various contracts that are on the order of over a year or less that will kind of slow down how we see some of this inflation as we go through 2017. So overall, with what we've seen so far, I think we're kind of broadly in line in 2017 with where we were in 2016.
Paul Cheng - Barclays Capital, Inc.: Al, can you give us which particular portal or service that you are seeing the cost increase request?
Alan J. Hirshberg - ConocoPhillips: I would say in the Lower 48 unconventional space, so rigs and pressure pump and then cement and all those sorts of things, where as Ryan said earlier there's been a pretty – I mean, the pace that things are being put back to work is nothing like the pace that they came off in the last few years, but it's been steady. And particularly in the hotter areas, places like the Permian, things where – places where the excess equipment and crews have been taken up, that's where you obviously start to see some price pressure. So it's been a mix kind of across the board and some of it is geographic depending on how much is available in a given area. Then let me answer your other part on doing our fourth quarter volumes. So Eagle Ford came in at 143,000 barrels per day, Bakken and at 53,000 barrels per day, and Permian at 18,000 barrels per day. And the total, there's some other smaller pieces so our total L48 unconventional is 226,000 barrels per day for the quarter. I should mention that in those numbers we had a weather impact of about 8,000 barrels that was unusual winter weather impact across the fourth quarter. So when I think about those numbers – when I look back at what our projections were for the fourth quarter, we're actually spot on what we expected from our Lower 48 unconventional, except that we were down 8,000 barrels from where we would've projected, and that was really weather-driven.
Operator: Thank you. Our next question is from Blake Fernandez of Howard Weil. Please go ahead
Blake Fernandez - Scotia Howard Weil: Hey, folks. Good morning. I had two questions for you. One is on deferred tax and one is on Libya. Maybe if I could start on Libya. Can you quantify what the earnings contribution was in the quarter and whether you're actually producing in 1Q? And then if we're kind of at a sustained run rate here when that's back online, does that change your capital outlook whatsoever?
Alan J. Hirshberg - ConocoPhillips: So on Libya, you would've seen in our numbers that we actually averaged 9,000 barrels a day net in the fourth quarter. If you look at our January numbers, we're producing more like – it's grown to about 12,000 barrels a day. So that's over 80,000 barrels a day gross now coming from Waha. I also said on the last call that we were having a lot of difficulties with damage at the tank farm and the loading port at Al-Sider. With the kind of production we were having, we might be able to get a first cargo before the end of the year. That that did not happen with the time it took to get everything repaired there. We have now loaded three cargoes just in January from Al-Sider, so as this production has picked up we've been able to load three cargoes. And that's an advantage for us because during those years when we didn't have any production we did establish a tax loss carryforward. And so now as we're picking these cargoes up, we're getting that cash flow back. So that's a benefit to us here in the quarter
Donald Evert Wallette - ConocoPhillips: I could also add that we don't know what the future of stability of Libya is going to be that's why we always exclude it from our results, and so forth, or segment it. But if Libya were to continue as it is now without interruption, then that could generate between $150 million and $200 million of cash flow that's not included in the cash flow estimates or sensitivities that we have
Alan J. Hirshberg - ConocoPhillips: And I forgot, Blake, I forgot to answer your question about CapEx pressure from Libya. If you look at what's going on there now, there's a lot of work just kind of in repair mode. You think about fields like North Gialo that were kind of the next medium cycle project we might do there; it's still way off. Things are not organized in country, and I don't think will be this year, to begin to spend any significant CapEx on things like that. I think it's going to be mainly basic blocking and tackling this year just trying to, in repair mode, trying to keep what we've already got online flowing.
Blake Fernandez - Scotia Howard Weil: Got it. Okay. Thanks. And then really the deferred tax. I'll just be brief here. Don, I think you mentioned $50 a barrel should equate to about $6.5 billion of cash flow. I noticed deferred tax is still a negative drain as Lower 48 has negative net income. When that reverses I guess I'm wondering does that cash flow sensitivity that you guys provide, should we be thinking of applying that plus maybe some additional benefit from deferred tax once you hit say $60 a barrel or so?
Donald Evert Wallette - ConocoPhillips: Blake, you should be – those sensitivities should be good. I think we qualified them that they were sensitivities for 2017, and they were within a specific range of oil prices of $50 to $60. So once you get above $60 then we'll probably give you some different guidance that's going to be driven by the deferred tax.
Blake Fernandez - Scotia Howard Weil: Okay. Great. Thank you.
Operator: Thank you. Our next question is from Roger Read of Wells Fargo. Please go ahead.
Roger D. Read - Wells Fargo Securities LLC: Hi. Thank you. Good morning.
Donald Evert Wallette - ConocoPhillips: Hey, Roger.
Ellen R. DeSanctis - ConocoPhillips: Hey, Roger.
Alan J. Hirshberg - ConocoPhillips: Hey, Roger.
Roger D. Read - Wells Fargo Securities LLC: Hey, I guess coming back to kind of the cash flow and the production commentary earlier, the lost 8,000 barrels in the U.S. and the cash flow was good in the fourth quarter. Was there anything in the cash flow or as we think about maybe over the second half of 2016 that you would call out as was either helped or hurt by circumstances? I don't know, I'm just trying to think about it again relative to the guidance given, and whether we should think of it as there really isn't much play or there have been some one-time items both favorable and unfavorable.
Donald Evert Wallette - ConocoPhillips: Roger, the cash flow in the fourth quarter I consider really clean. We always look at our underlying cash flow that we don't publish, but what's the business – how's the business really performing, and that CFO ex-working capital, $1.75 billion, almost identically matched our own internal view of what the underlying business was. I'll mention the only add to that was really the realizations were a little higher than we would've expected driven by tighter basis differentials pretty much across the board. So what that means is that our cash flow sensitivities have embedded our own assumptions about product differentials, and the realizations that we're getting are reflecting improvements over our assumptions. So we're not changing our views of those differentials that are embedded in the cash flows, but as we go forward that provides a bit of upside to the cash flow potentially.
Roger D. Read - Wells Fargo Securities LLC: Okay. Great. Thanks. And then as we think about what's going on with the reserves, and obviously things could get rebooked, but I don't know this question is for Ryan or for Al, but what's the right way to think about kind of a reserve production ratio that you would either be comfortable with or want to target? Or is that just something that falls out relative to all the other factors that you're managing?
Ryan M. Lance - ConocoPhillips: Well, I think we've said it repeatedly at our Analyst Meeting stuff. Our R/P had been running 14 to 15 or so. We've been willing to let that drift down, and that's a consequence, as Al talked about, as we move more investment to the shorter-cycle investments. So I think we'll let that drift down a little bit, but it probably doesn't fall off the cliff or anything because, as Al said, we've got a lot of resources, and as we look forward in our plans over the next five years or so we actually average about 100% reserve replacement. So R/P will drift down a little bit and then it'll flatten out naturally.
Roger D. Read - Wells Fargo Securities LLC: And would we expect much of an impact on reserves with the planned asset sales?
Ryan M. Lance - ConocoPhillips: Well, yes. I mean, there will be – commensurate with the – like San Juan Basin. We've got reserves booked against that asset. So, yeah, as we see the assets and the disposal process work forward, we'll see the rate and reserve impacts from those as well.
Roger D. Read - Wells Fargo Securities LLC: And I guess I can't get you to give me a number there? I'm just kidding, of course. All right. Thanks.
Operator: Thank you. Our next question is from Scott Hanold of RBC Capital Markets. Please go ahead.
Scott Hanold - RBC Capital Markets LLC: Thanks. A couple of quick ones. First, Al, you commented obviously there was a pretty good opportunity for you to bolt up in the Montney. Could you just give us a sense of what the plans are up there in 2017 and do you all think that that can compete with some of the other stuff you've got going on in Lower 48?
Alan J. Hirshberg - ConocoPhillips: Yeah. I mean, I guess, I would characterize the Montney at this point as we're still in appraisal mode. We've been quite impressed by our latest batch of wells and what they've done and the liquids mix that we've gotten from those. And so I would say that we've seen enough up there to see that we've got something that looks like it could compete in our portfolio. And so we're going to continue with that appraisal work, make sure we know what we have. One thing we haven't mentioned is part of that, some of that work that we did to pick up that acreage, we also did pick up some gas plant capacity, and that's given us a little bit more infrastructure, allowed us to – some of these wells, frankly, that we brought on have flowed strong enough that we need a little more capacity to be able to just handle the offtake. So we're – I would say that it's come on better than we might've expected, and now we're continuing to press forward with our appraisal plan, and that will drive us to figuring out what pace we want to put in infrastructure and develop that asset out. But I expect that over time you'll see that it looks like something that could compete in our portfolio along with – even against the Lower 48.
Scott Hanold - RBC Capital Markets LLC: Okay. So certainly it sounds like an 2018 thing if things work out. In Alaska, you talked about the discovery in the Greater Willow area, and obviously bolting on some acreage up there as well. Could you guys give us a sense of how that would play out? Like when could we see the potential impact of some of these obviously high-returning conventional projects like that?
Alan J. Hirshberg - ConocoPhillips: Yeah. I think, Willow is a very interesting discovery for us in the Greater Mooses Tooth area, out west of Alpine. We not only have that discovery but we were also able in both the state and federal lease sales in December to pick up another 750,000 acres gross; we're 78% across all this acreage in our ownership. And so we, really, we've stood up a team up there in Alaska to really do the work, the development planning work, to figure out what's the most optimum way to develop this new discovery. You could see it being on the order of 100,000 barrel a day kind of production rate that would be supported by just what we've discovered so far. So we need to think hard about how we move forward around infrastructure, et cetera. It's tough to predict timing because, as you know, the regulatory up there, dealing with the federal government has been pretty uncertain in the past on our other step-out projects. But I would say the earliest you could imagine bringing on a new round of things like Willow that we just discovered to be out in the 2023 kind of timeframe.
Scott Hanold - RBC Capital Markets LLC: Understood. Thanks a lot.
Ellen R. DeSanctis - ConocoPhillips: Christine, this is Ellen. We'll take one more call, just to be respectful of the time here – or one more question, excuse me.
Operator: Thank you. Our last question is from Ryan Todd of Deutsche Bank. Please go ahead.
Ryan Todd - Deutsche Bank Securities, Inc.: Hey. Thanks for squeaking me in here at the end, guys. A couple of quick ones, the first on costs. I mean your CapEx came in quite a bit lower in the quarter, which kind of continued a trend of doing that all throughout 2016. Can you talk a little bit about what drove the beat on CapEx? Was it efficiency gains or deferrals activity? And does it have any implications? I know that you're – I know that the $5 billion number for 2017 is the base case at this point. I mean, is that – does it put some downside risk potential on that number or does – is that offset by the things? And then I have one follow-up.
Alan J. Hirshberg - ConocoPhillips: Okay. You're right. Every quarter, it seems like our operating groups have been getting more and more efficient and surprising us with lower costs that's happened on both the capital cost side and the operating cost side because you've noticed we've been lowering that number all as we went through the year; now we've projected an even lower number there for 2017. But the – as you look at what generated this latest beat of $300 million, basically we had said $5.2 billion in our guidance and came in at $4.9 billion. About 80% of that under spend is outside the Lower 48. So it's consistent with some of the comments I was making earlier about where we're starting to see a little inflation and where we're still getting more deflation. So we had lower costs in Indonesia, Malaysia, Norway, UK, Alaska; and we also had lower cash calls from APLNG which were driven by just the higher price environment that we had in the fourth quarter. So it really was not a slippage or deferral kind of thing but really continuing to drive down costs that drove that. We were able to do that, still grow the 3% production as Ryan talked about earlier, and still leave us very well-positioned on volumes coming into 2017. So I think we're in good shape there; it's not like there's been anything that we – there was no change in scope that really drove that. As far as how that goes into 2017, I just rely back on the comments I made earlier about what we're seeing in inflation so far. At this point, I think that we expect the overall cost environment to be similar enough to last year that we should be able to execute the plans we have in mind in these kind of – this kind of range of prices, in the $5 billion range again next – this year.
Ryan Todd - Deutsche Bank Securities, Inc.: Great. Thanks. And then maybe a quick one. I appreciate the granularity you gave us on maybe some of the near-term trajectory in the U.S. on conventional volumes. But if we think about you ramping the rig program up to that 11 or 12 rigs over the course of this year and if you were to stabilize at that level, I mean, what would that mean for – what would that type of activity mean for the medium-term trajectory in the U.S. onshore? Is that flattish production? Is that kind on a single-digit growth, low double-digit growth? Anything that kind of...
Alan J. Hirshberg - ConocoPhillips: Yeah. So let me kind of paint a picture for you there to give you an idea of how that looks. As I said before, I think we'll probably hit the low point in the Lower 48 unconventional in the second quarter. If you look at where we'll end up, if you look at 2017 versus 2016 Lower 48 unconventional volumes, I actually expect we'll still be down between 5% and 10% year-to-year. We were down 5% in 2016 versus 2015. But if you look fourth quarter-to-fourth quarter, 4Q 2017 versus 4Q 2016, I expect we'll be up 5% to 10% in the fourth quarter versus the prior fourth quarter. But even that doesn't really reflect this rig rate. If I reference you back to our Analyst Meeting, we gave you that handy-dandy decoder ring – Ellen tells me it's slide 55 in case you want to check – but if you look on there – If you look on there at 11 rigs we'll average, actually, a little less than 11 rigs this year. But of course you have to get to steady state on the rigs, which we're certainly not at yet before you get the kind of things that are on that slide 55. But 11 rigs gives you between 10% and 15% compound annual growth rate in our Lower 48, in our big three, from the low point this year. So once we get to a steady state, assuming we do with that kind of rig level, that's what you should expect from us, is in the kind of 10% to 15% annual growth in our big three areas at these kind of rig rates.
Ryan Todd - Deutsche Bank Securities, Inc.: Thanks. Very helpful.
Ellen R. DeSanctis - ConocoPhillips: Thanks, Ryan, and I'll go ahead and wrap things up here. By all means, if there are any additional questions feel free to ring into IR. Christine, thanks for moderating for us, and thanks to all of our participants. I appreciate your time and interest.
Operator: Thank you, and thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.